Operator: Good morning. My name is Paula and I will be your conference operator today. Thank you for joining us for this conference call for OFG Bancorp. Our speakers are José Rafael Fernández, President, Chief Executive Officer and Vice Chairman and Ganesh Kumar, Executive Vice President and Chief Financial Officer. There is a presentation that accompanies today’s remarks. It can be found on the Investor Relations website, under the webcast presentations and other files page. Please note this call may feature certain forward-looking statements about management’s goals, plans and expectations, which are subject to various risks and uncertainties outlined in the Risk Factors section of OFG’s Securities and Exchange Commission filings. Actual results may differ materially from those currently anticipated. We disclaim any obligation to update information disclosed in this call as a result of developments which occur afterwards. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. I would now like to turn the call over to Mr. Fernández.
José Fernández: Thank you and good morning to all. I will cover the general overview and Ganesh will discuss key aspects of our financials. Please turn to slide three. We continue to achieve notable success despite Puerto Rico’s tough operating environment for the 7th consecutive quarter since the acquisition of BBVA Puerto Rico operations, our performance metrics were comparable to top tier mid-cap banks that operate in a much more favorable market. All of these reflect our ability to be highly adaptive with sound capital management and operating capabilities. Now, let me review key highlights for the quarter. We earned $0.34 per share diluted, equal to a year ago quarter, compared to the second quarter we earned $0.04 less that’s primarily due to the absence of significant cost recovery from the Euro bank portfolio. These don’t necessarily flow into the income statement on a straight line basis as we have experienced it last several quarters. Based on what we have already seen these recoveries should rebound in the fourth quarter. Other operations performed well, demand deposit and savings account balances grew while total deposit cost continue to decline. Originated loan balances and yield expanded, mortgage and commercial loan production increased, non-interest expenses remain leveled. We continue our strategic reduction of Puerto Rico government related exposure, which fell more than 4% during the quarter. Furthermore capital continued to grow with tangible book value up 0.7% to $14.82 per share and book value up 0.5% to $16.96 per share. Additionally, we continue to build Oriental’s brand and differentiate ourselves in the market by introducing new consumer oriented technology with enhanced products and services. Over the last year we have introduced four such products, our Cuenta Libre, Freedom Account in English with no constraint on ATM access and advanced mobile features, FOTOdepósito which is our version of photo deposit. Online account opening and PeoplePay. We are happy to report that Cuenta Libre is attracting approximately 800 net new customers a month. Total mobile usage as a percentage of internet users grew five times larger over the last 12 months. Please turn to slide four. As a result, our performance metrics for the quarter were satisfactory in comparison to our target ranges. Net interest margin came in at more normalized level 5.84%. I say normalized because it didn’t include cost recoveries, which benefited net interest margin in the second quarter as well as earlier this year. Return on average asset was 1.02% versus our target of 1.25%, return on average intangible common equity came in at 9.78% versus our 12% target. Our efficiency ratio came in at a solid 49.30%, better than our low 50s target, it also is significantly improved over the more than 52% level of a year ago. I will have some additional observations later, but for now I will turn the call over to Ganesh.
Ganesh Kumar: Thank you, José. Good morning to everyone on the call. Let me start with slide five and walk you through the third quarter of 2014. Key to understanding our results are the trends within our loan portfolio. Looking at the graph on the slide you will notice the loan portfolio balance mix is changing. We have been increasing originated loans on a fairly steady basis. Our total loans this quarter end were $4.86 billion compared to $5.13 billion in the year ago quarter. Adjusting for reductions in PR government loans, new loans generated have helped up to overcome runoff in the acquired portfolio. The yield of originated loans has picked up slightly. This is due to our pricing discipline and a higher proportion of consumer loans. During the third quarter the yield was 6.64%, compared to 6.13% a year ago. This mix provides a good backdrop to understanding certain trends in our P&L and reported credit metrics. Also we still have $514 million of upgradable yield and $602 million of non-upgradable discount on the two acquired books. Roughly 45% of our loan book is acquired and under purchase accounting. Moving on to slide six. Another key to our business is what’s happening with our deposit balances and cost. Our strategy is twofold, one to reposition our brand and create the much needed differentiation in the local market. Related to this, our product changes as José mentioned earlier. And two, to achieve a favorable funding mix at a better cost. To illustrate the second strategy, we are seeing a reduction in overall cost of funds and a much better mix of deposits. In the third quarter, total deposits declined 8 basis points to 68 basis points. They are down 25 basis points year-over-year. Demand deposits and saving balances increased $30 million to $3.3 billion. They are also now equals 65% of the total deposits compared to 64% at the end of the last quarter and 56% a year ago. At the same time, higher cost fund deposits most of which were acquired declined 4.6% due to maturity. Now onto page seven. Overall our business is performed well with some aspects showing particular strength. Specific to loan generation, we were able to flow more than $242 million in new loans up 9.5% from the second quarter. Auto production of $69 million was down from $80 million to $90 million levels we saw in the past quarters. It should be noted that new car sales in the market overall have dropped 20% or so in the last few months. On the other hand, commercial production of $90 million was almost twice second quarter levels, this reflects our earlier mid-market and small business C&I pipeline build. Residential mortgage production of $55 million increased 6% despite a tough regulatory environment. In addition pricing improved in the secondary market increasing fee revenues by 35%. We continue to focus on confirming loans with average balances of around $135,000 and on originate to sell model. Consumer loan production at $29 million returned to its high water mark. The increase we had experienced in second quarter was primarily due to some targeted marketing campaigns where we had branch. At close to $10 million banking services revenues continue to maintain that level, impart due to our institutional and commercial past action services business. We also maintained wealth management revenues at more than $7 million this was due to higher fee revenues from our trust businesses and as well as from our annuity sales at our broker dealers. General market conditions continue to challenge our efforts to grow this business further. Please turn to slide eight for an analysis of major items of our profit and loss statement. Non-covered loan income was virtually level at $88 million, increased income from a higher balance of originated loans almost offset lower income from the reduction of the acquired loans. Covered loan income fell $4 million, there were no significant core recovery as this can vary quarter-to-quarter. Investment securities income declined $1.2 million primarily due to higher premium amortization in our portfolio. Total interest expense declined 7% due to factors we just discussed. Provision for loan losses excluding acquired loans increased $1.2 million, this was primarily due to an increase in charge-off levels on originated auto loans and higher portfolio balances as well. The provisions for acquired loans increased $1.3 million third quarter included our annual forecast refresh for the covered portfolio. Impairments in estimated cash flows on covered flows represent an entire increase in provisions for all of the acquired portfolios. Since we already talked about the non-interest expenses let me skip down to FDIC amortization. The amortization expense fell $1.5 million due to the absence of cost recoveries on the recovered portfolio. Non-interest expenses remained approximately level at $59.6 million in line with normalized prior quarters. Now on to slide 9, regarding the balance sheet with respect to the balance sheet we would like to review the following highlight. Our already strong liquidity continues to build up due to cash flows from our business operations. We have already discussed loan balances so let me move down to the FDIC indemnification assets. As you can see we continue to write this asset down, most of it is expected to end in the second quarter of 2015 as the commercial law share agreement with the FDIC expires then. Stockholders’ equity increased to $930 million the improvement was primarily due to increases in retail earnings, which more than offset the decline in AOCI at unrelated gains in our securities portfolio at the end of the quarter was lower than that of the end of the second quarter. Please turn to slide 10. Here is an update on our government related exposure. As we mentioned previously, we continue to reduce this exposure. Loan balances declined $31 million in the third quarter due to contractual maturity of some central government loans and some municipal loans. With regard to PREPA as part of the core balance agreement the banks syndicate agreed to extend the credit facility up to March 31, 2015. We had then classified this credit as a substandard asset and asset TDR as loan. Along with the members of the syndicate we had retained an outside expert to assist us with the cash flow forecast, which included a series of assumptions that was used to build our own model. Based on this analysis, the loan is being maintained in approval status requiring no impairment at this point in time. To sum up, our Puerto Rico government exposure has declined almost a third from since a year ago. On Slide 11, we review our credit quality metrics. These metrics relate to the originated loan portfolio excluding the acquired loan portfolios. During the quarter, the non-performing loan rate increased 26 basis points to 3.65%, this was primarily due to incremental entries in the mortgage in form of repurchase from GSEs and as well as TDRs. The net charge-off increased 38 basis points to 1.34%, this was primarily due to increases in the consumer and auto portfolios up 64 basis points and 58 basis points respectively. In auto, we clearly see a trend in increasing charge-off rate eliminating the effect of seasoning our increase is in line with the market experience that we see. But considering that our auto portfolio is our higher yielding portfolio with a different risk profile we are comparatively better in terms of the last experience that we see in our portfolio. That concludes my part of the presentation, let me turn it over to José for the wrap up.
José Fernández: Thank you, Ganesh. Please turn to Slide 12 for our current outlook. With regards to Puerto Rico, the operating environment continues to be a challenging one. The GDP activity in that has been further declined, auto loan sales have dropped 20% from new cards as Ganesh mentioned and demand is softer for used cars. In general is a tough landscape, there continue to be signs of progress however the Central Government is taking steps in the right direction to tackle short-term liquidity challenges and also to fix the tax goal. We are waiting PREPA’s business and restructuring plans due on December 15, 2014 and March 15, 2015 respectively. Tax reform and energy reform are two initiatives that the government needs to implement in the next few months for Puerto Rico to improve its fiscal situation and comparativeness. We have also seen encouraging trends in the private sector employments as well as well oil prices trending down, which will positively impact our economy. In banking, loan demand continues to be soft, there has been a noticeable decline in consumer credit quality and there is a continued intense price competition for good quality commercial loans. On the other hand deposit pricing while higher than averages has become much more rational. Within this challenging environment we continue to adapt this has enable us to generate performance metrics that compares favorably to top tier Mainland banks. We have proven this over the last seven quarters. Near term, our core businesses should continue to perform well as we look into 2015 and beyond, Oriental will continue to benefit from our larger plan base as we further deepen our customer relationships. The momentum we have with our advanced banking capabilities, market differentiation and brand perception along with the elimination of the FDIC amortization expense should provide us with significant earnings growth going forward. All of these uniquely enable us to continue to pursue our capital deployment and management strategy, our advantage is flexibility and we will continue to do this to maximize returns. That ends our formal presentation. Operator, please open the call to questions.
Operator: The floor is now open for questions. (Operator Instructions). Your first question comes from the line of Brian Klock of Keefe, Bruyette & Woods.
Brian Klock – Keefe, Bruyette & Woods: Good morning, gentlemen.
José Fernández: Hi Brian.
Brian Klock – Keefe, Bruyette & Woods: I’ve just two questions and then I’ll get back in the queue. First thinking about how challenging in Puerto Rico you guys continue to put up you know 2.25%, 2.3% pretax pre-provision earnings, you’ve got a solid tangible common equity, tier I common very strong. So can you talk a little bit about your thoughts for the buyback and looking at where the shares are trading below tangible book I guess just remind us what you’ve got left in the buyback and what your thoughts are there?
José Fernández: Yes. At the end of the quarter, we – let me start again. I think from our perspective, we are looking into buying back shares every time we see an opportunity when the stocks starts trading at or below tangible book value. So we will take those opportunities and we will take advantage of those opportunities. Having said that our original $70 million repurchase program at the end of the quarter probably $18 million to $19 million – $21 million left in availability and we will be opportunistic as that we have been in the past going forward.
Brian Klock – Keefe Bruyette & Woods: Okay. And then my second question is with all the competition in Puerto Rico for loans, I was impressed with the NIM being steady when you take out the accelerated accretive yield impact on the prior quarter and even the couple of basis points of compression this quarter from excess liquidity build up and it looks like on both fronts on the loan side you have actually had some nice expansion in your non-covered loan yield we also did some good work on the deposit side. So maybe talk about what you are thinking and maybe an outlook for I guess both loan yields, the deposit pricing and then I guess expectations for the overall NIM in the next quarter or so.
José Fernández: So on the loan side Brian when we look at the consumer side of the loan demand and loan portfolios, we see an opportunity for us to continue to show good yields again the auto business has yielding focus and as well as the consumer the personal loans and installment loans that we originate. So we continue to be encouraged with the yields on those two portfolios. As you know the mortgage, residential mortgage portfolio we originate to sell is mostly conforming and then on the commercial side that’s where most of the kind of strong pricing competition is happening to some degree very rational in terms of pricing and in terms of structures and terms. So, it’s a matter of making sure that we identify the best customers and try to attract them or and or retain them in a rational way. So that’s how what we see on the loan side from the prices perspective. On the deposit side we have done pretty good job of bringing down cost of funds and on our core deposits and while we have been doing that our balances have remain or gone up depending on which category you want to look at, but demand accounts and saving accounts have increased throughout the last year and half since acquisition, which reflects the larger and more recognized brand that we have here in Puerto Rico and also the acceptance of that from new potential customers coming in as we mentioned on one of our accounts, we’re bringing in 800 new customers a month on average and also the differentiating factors that are helping us keep on bringing down the cost of funds since the market is recognizes the value add that we provide to those customer.
Ganesh Kumar: Brian I would also like to add that the mix of the loan portfolio on the mix of the deposit balances contributes to this expansion in NIM, at least in maintaining the NIM at this level. Primarily because the two things happening, one you know as the commercial loans come out of the acquired portfolio the thing that is the component of the loan portfolio that’s increasing or the consumer part, which is the auto and the retail loans they have a higher pricing and yield therefore there is a pick-up over there. Second thing is partly because the loans that were booked even the auto loans and the consumer loans that were booked into our – during the acquisition were treated with the premium and therefore they were lower yielding on book than the ones that they did replacing even though they are priced similar, and then obviously the other side of the equation is the more deposits and saving accounts and we have driven down the pricing on those one and so far the market has been inelastic and working in our favor in growing that portfolio and at the same time it does enabled us to concentrate on reducing the higher cost CDs that we acquired.
Brian Klock – Keefe Bruyette & Woods: Great, thanks for that. And I guess so with that dynamic so much on place would you expect to see the margin sort of hold steady here and I think José did you mentioned earlier you think there may be some more accretable yield coming in I guess cost recoveries that you have referred to in your comments in the next few quarters?
José Fernández: That is correct from the covered portfolio we’re already seeing some additional cost recoveries into the fourth quarter. And frankly we need to continue to optimize our operation to maximize the cost recoveries on both portfolios Eurobank and BBVA. So we are very focused on maximizing that accretable yield that is sitting out there for us to a pass though income.
Brian Klock – Keefe Bruyette & Woods: Okay, great. Thanks for your time guys, appreciate it.
José Fernández: Yes.
Operator: Your next question comes from Brett Rabatin of Sterne Agee.
Brett Rabatin – Sterne Agee: Hi, good morning guys.
José Fernández: Hi Brett, how are you?
Brett Rabatin – Sterne Agee: Well thanks. Wanted to go back to the PREPA exposure and just make sure I understand that you’ve gone through your analysis you’ve done a cash flow analysis and determination was is there is no provision needed even though it’s now at CDR. Can you may be give us a little more color on just on that particular credit and then just what happens from here in terms of that exposure do you guys think you’ll be able to do something with that position or do you kind of hold on to it and just wait and see kind of how it plays it out?
José Fernández: So let me give you an overview and I’ll let Ganesh get into more of the details. But what we’re seeing on PREPA is as you well know there is a [inaudible] time an extension to March of next year. But looking very closely at this credit as you might imagine. And what we’re seeing the trends that we’re seeing on the information that we’re getting is encouraging in terms of how they’re working on the operation and trying to extract the efficiencies. So the cash flows are reflecting that and we are encouraged with that. Having said that there is couple of more innings to go because there is a restructure officer engaged that needs to provide a business plan by December of this year and a restructure plan by March of next year. So we will be evaluating on an ongoing basis and on quarterly basis is this credit.
Ganesh Kumar: Brett I would like to also add that compared to where we were last quarter when we were discussing the results to this quarter, the level of confidence on the cash flow have increased a little bit because as you would remember last quarter that four brands agreement was not yet in and therefore we didn’t know. So since that last quarter we have had the four brands agreement we had look we had retained the external experts to recast the cash flows for PREPA and identify the components of the assumption and then we made the call primarily to categorize this as a CDR primarily because the credit facility was changed and it’s turns in its form as a credit facility from align to a facility. So having said that the cash flows do indicate at this point in time even with our own analysis and going through a fine to come there is the debt service coverage ratios are in fact good and until further information we get or any improvements that happen from the management plan or restructuring plan. So that is that these factors have led us to depend of make the call that we don’t need any specific impairment, specific provisions to have towards the impairments. And therefore at this point in time it’s an accrual and CDR status at this point.
Brett Rabatin – Sterne Agee: Okay. Appreciate the color there. And then I guess one thing I want just to back to was just thinking about the loans and you’re moving the consumer book higher, but you did have really strong commercial originations. And I guess I’m just curious to hear I joined a minute or two late but a little more about the commercial pipeline and if you feel like the pricing there is good enough for you to maybe grow that portfolio as well?
José Fernández: I mentioned it earlier Brett and basically we see price pressure on the commercial portfolio especially on the larger client. So we have an opportunity to attract some small and mid-size type of commercial clients where we feel that they’re not necessarily completely served and targeting them. But there is a lot of competition on the pricing side for the larger commercial client. So we’re seeing some opportunities on the small business side, particularly there as we continue to deepen our relationships with our prime customers too.
Brett Rabatin – Sterne Agee: Okay great, thanks for all the color.
Operator: Your next question comes from Emlen Harmon of Jeffries.
Emlen Harmon – Jefferies: Hi, good morning guys.
José Fernández: Hi Emlen.
Emlen Harmon – Jefferies: You spoke of fair amount about how the economy there is changing your expectations on the consumer book in terms of credit, as we think about the commercial side of the loan book can you give us some color just around how the economic environment is changing your expectations for losses on the commercial side of the book and I guess any kind of data you give us on just kind of potential problem loan increases in the last couple of quarters or substandard loan increases would be helpful understanding that as well.
José Fernández: On the commercial side Emlen we are seeing clients have been operating in a very tough environment themselves and they have done so successfully. So we feel very comfortable and confident with our commercial book, we’re not seeing actually any increases in early delinquencies and we’re not seeing a pressure, in general terms on our commercial portfolio. On the contrary what we’re seeing is quite stable in terms of credit metrics, and we feel comfortable going forward. So we don’t expect that portfolio to add pressure. Bear in mind also that there is an expectation also from the commercial side that the tax receipt that was imposed year and half ago will be eliminated sometime at the beginning of 2015. So psychologically commercial accounts businesses are starting to expect that and I think that also are positive. But from our perspective our commercial portfolio is pretty solid and we feel comfortable.
Ganesh Kumar: Emlen encouragingly that the C&I portfolio we acquired as part of the covered loans that has done very well as well. So it’s as José Rafael said they have been subject to the economy for quite some time right now so the season portfolio continues to be steady in terms of not showing any further credit deterioration.
José Fernández: And as I said earlier small commercial clients are an opportunity for us and we have included our focus there.
Emlen Harmon – Jefferies: Got it, okay thanks. And then in the earning release you guys called out a few acquired commercial credits has been the cause of the provision on the acquired book, can you just help me understand what the interplay between the marks you took on those credits as part of the acquisition and just the provision you put up for those credits in the quarter? Were those effectively marked assets and how much do that offset the approach you had to take?
Ganesh Kumar: Just to kind of explain the news release statement and just what I think I went through the script earlier, primarily the provisions increased about $1.4 million this quarter and the acquired came from the covered loan portfolio, and the covered loan portfolio as I said earlier it’s the annual quarter for us to re-forecast the entire portfolio and that entire re-forecast always looks at all the loans, all the portfolios, all the pools and we determine that we have to take additional $1.4 million in provision towards the impairment of that portfolio compared to the last quarter. So it’s not necessarily we are changing the mark or anything like that it’s because the mark really talks about the credit and the impairments might come in timing as we use the net present value to calculate the cash flows. So it’s purely I won’t ask you to take it as a credit deterioration par say it’s just an impairment in the cash flows.
Emlen Harmon – Jefferies: Got it. So your comments specifically address I guess the increase, but there were like roughly $7 million in charge-offs in the acquired non-covered book as well?
Ganesh Kumar: Yes, there were some mark related cases where the appraisal came lower, so there were some one or two cases and if you look at the table where we show the non-accretable discount there has not been any moment from accretable to the non-accretable. So by looking at the table you should be able to say that our initial marks are not suffering.
Emlen Harmon – Jefferies: Okay got it, thank you.
Operator: (Operator Instructions). Your next question comes from Taylor Brodarick of Guggenheim Securities.
Taylor Brodarick – Guggenheim Securities LLC: Great, thank you. Just talking one more follow-up on sort of the weakness in the consumer end and auto demand, does that lend any opportunity to reduce expenses either through plant, property or people to kind of address the lower demand?
José Fernández: In terms of I am having a little trouble hearing you Taylor, so if you could repeat again just to make sure I understand your question.
Taylor Brodarick – Guggenheim Securities LLC: Yes, I was just saying that with just taking about your weakness among consumer and auto demand does that give you opportunity to continue to improve operating expenses are there any sort of reductions that you can make given weaker demand?
José Fernández: There is always opportunities but bear in mind we are running at a 49% efficiency ratio. So we are pretty efficient as it is, certainly there are opportunities I think the opportunities not early are from a cost reduction perspective but more from a productivity and being more agile and efficient on our servicing efforts. On the consumer side I think we need to continue to improve there and our team focused on that. So that’s how we see the – how we approach the fact that the consumer demand is being affected a little bit.
Taylor Brodarick – Guggenheim Securities LLC: Great. And then I guess one other question just sort of on the land escape, obviously seems like the industry will continue to consolidate at what pace remains to be determined, but sort of want to hear your thoughts on what you would be looking for if you reentered M&A and if there is any opportunities as far as any area that you want to strengthen up and be a deal?
José Fernández: So we are always open to opportunities and certainly we have been all along since 2010 a key consolidator in the Puerto Rico banking industry, so the track record is there. Having said that it’s a difficult economic environment and so the players that exist here mostly are in a retention mode from international side. So we will see how all those things play out, in our mind we are focused on our operations we are focused on making sure that we optimize our retail banking operation, maximize return to our shareholders and if there is an opportunity we will certainly evaluate it, but look at this stage we are very comfortable with the platform what we have here in Puerto Rico.
Ganesh Kumar: And with the last acquisition we have closed our sort of gaps in our offerings and at this point in time anything we look would be looking as a financial transaction and therefore our IRR expectations would commensurate to that type of transaction. If something comes as José Rafael said we’ll definitely take a look at it.
Taylor Brodarick – Guggenheim Securities LLC: Great, I appreciate the detail, thanks.
Operator: Your next question comes from Brian Klock of Keefe Bruyette & Woods.
Brian Klock – Keefe Bruyette & Woods: Hey, thanks for taking the follow-up question. Thinking about again the capital question we talk about before and following up on the M&A decision I guess if there is not necessary franchise that could be sale, teams like the reduction and retrenching you mentioned with some of the international peers could be market share take away opportunities. So I guess maybe a twofold follow-up question. One, with that happening I guess maybe what’s the outlook for loan balances? I think should we expect there to be some slight decline or do you think there is a market share opportunities to kind of keep loan balances stable. And then secondly, if there is going to decline or maybe not a market share opportunity would you think about reopening the buyback once you get through this current authorization? Thanks.
José Fernández: Yes, I think loan demand is really slowing down, so there is really going to be a challenge for us to grow our loan book going forward. There are opportunities for us to attract some additional clients and but I think our biggest opportunity Brian is within our own existing clientele expanding those relationships, going into and trying to kind of gain market share if there is a challenge there is really pricing and we got to be very rational on how to attract those clients in especially on the credit side. So I expect or we expect to have a lower loan balances and I would say neutral to lower for a year, as we continue to have run-off from the covered portfolio also some run-off from the acquired portfolio and booking new loans on our what we call originated portfolio. So that’s how we are seeing, what was the second part of your question?
Brian Klock – Keefe, Bruyette & Woods: Right. So I guess if it’s going to be a little bit more challenging I kind of either keep that loan portfolio stable and maybe there is not an M&A opportunity would you think of reopening the buyback I guess once you get through this current authorization?
José Fernández: I mean we always look at capital management and we go to the board on a yearly basis and we are constantly looking at it, but we take a deeper dive later in the year in the fourth quarter in terms of our dividend as well as our repurchase program, so we’ll certainly take a look at those.
Brian Klock – Keefe, Bruyette & Woods: And I guess maybe just with that, last year in the fourth quarter you did increase the dividend and is the typical sort of I guess you are still making your way back towards your hold of about 30% sort of payout target?
José Fernández: 25, 25%.
Brian Klock – Keefe, Bruyette & Woods: 25%? Okay.
José Fernández: Yeah, we look at it, we’ll, as I said we’ll, the Board will take a look at it and we’ll evaluate the both the repurchase plan as well as the common dividend that we have as much as I can share with you Brian.
Brian Klock – Keefe, Bruyette & Woods: Okay, great. I appreciate your time. Thanks again, guys.
José Fernández: Welcome.
Operator: Your next question comes from Richard D’Auteuil of Columbia Management.
Richard D’Auteuil – Columbia Management: Just a couple, I guess the first one is more of a statement, but it sounded like your response to M&A is there is likely to be a very high bar and you don’t need to do anything and it has to just did, it will come down to a financial kind of metric that it is how you are going to measure those is did I read that correctly?
José Fernández: Yes, you did.
Richard D’Auteuil – Columbia Management: Okay. And the other thing is that it didn’t look like you bought back any stock in the quarter or you have already established where you are willing to buyback, but it did trade below tangible subsequent to the end of the quarter. Was there a blackout period or were you able to buy in that period of time?
José Fernández: I am not allowed to talk a little bit about forward quarters. So I can just say to you as we have done in the past we have been opportunistic every time we feel the stock is undervalued and we have done in the past and we continue to do it in the future.
Richard D’Auteuil – Columbia Management: Okay. So I guess just separate from that end do you guys use a blackout period between the end of the quarter and when you report earnings or that isn’t something that…
José Fernández: Not for the repurchases Rick.
Richard D’Auteuil – Columbia Management: Okay.
José Fernández: We don’t have a blackout for repurchases we have a blackout for management and the Board.
Richard D’Auteuil – Columbia Management: Okay. That’s all I have. Thank you guys.
José Fernández: Welcome.
Operator: At this time, there are no further questions. I will now turn the call back over to Mr. Fernández for closing remarks.
José Fernández: Thank you, operator and thank you all our stakeholders who have listen in. Next week on Thursday October 30th we will be ringing the closing bell at the New York Stock Exchange in celebration of Oriental’s 50th year in business and OFG Bank’s 20th year being listed on the New York Stock Exchange. We will be issuing a new release with a video web link if you want to watch. And of course we look forward to talking to you next quarter when we hold our fourth quarter and year end call. Have a nice day to all.
Operator: Thank you. This concludes today’s conference. Thank you, you may now disconnect.